Operator: Thank you for standing by. At this time, I'd like to welcome everyone to the Q1 2024 NiSource Earnings Conference Call. [Operator Instructions] 
 I'd now like to turn the call over to Chris Turnure, Director of Investor Relations. Please go ahead. 
Christopher Turnure: Good morning, and welcome to the NiSource First Quarter 2024 Investor Call. Joining me today are President and Chief Executive Officer, Lloyd Yates; Executive Vice President and Chief Financial Officer, Shawn Anderson; Executive Vice President of Strategy and Risk and Chief Commercial Officer, Michael Luhrs; and Executive Vice President and Group President, NiSource Utilities, Melody Birmingham. 
 The purpose of this presentation is to review NiSource's financial performance for the first quarter of 2024 as well as provide an update on our operations and growth drivers. Following our prepared remarks, we'll open the call to your questions. Slides for today's call are available in the Investor Relations section of our website. 
 We would like to remind you that some of the statements made during this presentation will be forward-looking. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed in the statements. Information concerning such risks and uncertainties is included in the Risk Factors and MD&A sections of our periodic SEC filings. 
 Additionally, some of the statements made on this call relate to non-GAAP measures. Please refer to the supplemental slides, segment information and full financial schedules for information on the most directly comparable GAAP measure and reconciliation of these measures. 
 I'd now like to turn the call over to Lloyd. 
Lloyd Yates: Thank you, Chris, and good morning, everyone. I'll begin on Slide 3. The NiSource investment thesis is simple. We serve our customers by delivering safe and reliable energy at an affordable price. Affordable energy delivery requires deployment of capital and operating assets efficiently. It requires operating in jurisdictions which have constructive regulatory mechanisms. The byproduct of these fundamentals generates competitive regulated returns for our shareholders while maintaining and improving our balance sheet position. Capital deployment comes from a $16.4 billion base CapEx plan projected over the next 5 years, plus over $1.5 billion in upside projects as well as substantial opportunity for investment beyond 2028. 
 The stable public policy and ratemaking in our states across multiple election and regulatory appointment cycles has been crucial to efficient capital allocation and recovery to support our communities. Our balance sheet is derisked and more flexible than ever before and enables industry-leading sustainable organic investment. As part of this flexibility, we are more disciplined and return-focused with our internal allocation decisions whenever. We recognize the competitive environment for capital and we do not take your investment for granted. 
 Our total year-end 2023 rate base was $18.8 billion, consisting of $9 billion in Indiana, $4 billion in Ohio, $3 billion in Pennsylvania and over $1 billion in Virginia. Our nearly 4 million customers contribute to gross domestic product of over $3.8 trillion across our 6 states of operation or approximately 14% of U.S. GDP. We expect our system to see substantial low growth over the next 5 years due to data centers and reshoring of manufacturing. Northern Indiana offers constructive fundamentals for data center development through robust electric transmission, overall energy system capacity, plentiful land, limited physical disaster risk, tax incentives and a pro-business policy environment. During the last 5 years, NIPSCO and the Columbia gas family of companies have contributed over $1.4 billion in property taxes in their local communities. This funding goes to schools, parks, roads, emergency and other essential services and keeps our communities moving in the right direction. 
 Each and every day of the year, we provide safe, reliable, sustainable and cost-effective service for our customers. Slide 4 shows our key priorities. Today, we reported first quarter 2024 adjusted EPS of $0.85, 10% above the $0.77 reported 1 year ago. We are reaffirming 2024 adjusted EPS guidance of $1.70 to $1.74. We are also reaffirming annual 2023 to 2028 guidance for adjusted EPS of 6% to 8% and rate base of 8% to 10%. We continue to target FFO to debt of 14% to 16% in all years of the client. Our superior regulatory and stakeholder foundation is differentiated. We have a long history of working collaboratively to deliver value across diverse constituencies. The most recent example is our NIPSCO Gas general rate case settlement announced in March. Late in the quarter, we also filed CPCN amendments for full ownership of the Fairbanks and Gibson Solar Projects. This follows CPCN amendment approvals from the IURC for Cavalry and Dunns Bridge II in January. 
 Our intention has been to layer projects into our base plan during the course of the year. Consistent with our pending request at the IURC, today, I am pleased to announce we are adding full ownership of the Fairbanks and Gibson projects to our base capital plan. This incremental NiSource investment simplifies the project structure and reduces cost to customers when compared to the prior tax equity configuration. Reliability and efficiency remain core elements of our operational excellence culture as seen on Slide 5. In 2022, we began the process of upgrading outdated technology that, in some cases, predated the Columbia Gas merger in 2000.
 Our multiyear technology investment initiative is continuing to take shape with work and asset management programs addressing the scheduling dispatch and execution of work and the management of underlying assets, an upfront investment can drive decades of both reliability improvement and cost savings for customers. In March, NIPSCO requested a regulatory deferral mechanism for these investments, seeking to align ratemaking with long-term customer value realization. Amid increasing weather extremes and natural disaster frequency throughout the country, customers are benefiting from energy resiliency more than ever. NiSource delivered this through multiple channels with both major gas and electric systems.
 Our electric generation mix includes renewables and on-demand natural gas, balancing intermittency and fuel price volatility risk. Meanwhile, our gas system is insulated from harsh weather and can deliver dependable energy for our customers and even the most extreme conditions. I want to wrap up my comments by acknowledging each of our over 11,000 employees and contractors. Without their tireless effort on behalf of our customers, none of this work will be possible. 
 I'll now turn things over to Melody. 
Melody Birmingham: *Thank you, Lloyd. I'd like to turn to Slide 6 to give you an overview of NiSource's safety journey since 2017. We often get asked by investors new to the company for a picture of specific risk mitigation metrics over time. I'll begin by saying that the magnitude of change at the company over the last 6 years cannot be overstated. Our centralized operations team has implemented both engineering design and process-based solutions to improve our gas system safety. 
 Our system management system -- our safety management system was recently reconfirmed for American Petroleum Institute recommended Practice 1173, making NiSource one of only two utilities in the world to maintain this designation. We also completed a conformance assessment and are pursuing certification for standard 55001, an International Organization for Standardization, or ISO. This validates advancement in our asset management practice maturity and illustrates our commitment to optimizing value through a balance of risk, asset performance and costs.
 Our gas assets now have automatic shutoff valves and remote pressure monitoring on 100% of low-pressure systems. Isometric drawings provide 3D renderings of all our regulating stations. We have 36% fewer miles of pipe designated as priority compared to year ending 2017. 51% of our 55,000 mile system has been surveyed with advanced mobile leak detection vehicles. 98% of our gas service lines are mapped as of the year-end 2023, which is up from only 4% 6 years ago. These tangible verified metrics are only a part of our story. Leading-edge safety management is fueled by culture and it's critical to any safety work environment.  
 Every day, our NiSource team lives the Core 4 through employee certification and training, knowledge transfer, technology utilization and community engagement. Let's move to Slide 7, where you'll see a timeline of our regulatory activity. As we've said previously, our 5-year financial plan does not include extensive regulatory stay-out period. We've had the ability to employ capital trackers and/or forward-looking rate case test years on the majority of our capital expenditures. Columbia Gas of Ohio recently filed its annual infrastructure replacement program, or IRP tracker for $231 million of capital investment with a requested effective date this month. 
 In March, NIPSCO's gas settlement was the result of the rigorous rate case process in Indiana and involved a highly engaged stakeholder group of intervenors working with our team and all parties, either signing or not opposing the agreement. A final order is expected in the third quarter of this year. We kicked off our triennial Integrated Resource Plan or IRP process in April with the first of five stakeholder meetings planned for this year. Throughout the process, all interested parties will provide extensive information on low requirements and generation planning for the report's 20-year time horizon.   
 These are just some examples of our commitment to proactive engagement with our stakeholders. We have a high degree of confidence in the value of our investments for our communities and we work regularly to ensure that there are no surprises during the regulatory cycle. Economic development continues to be a competitive advantage for our service territories. One in particular, a project Virginia-based Northrop Grumman broke ground earlier this year on a $200 million advanced electronics manufacturing and testing facility in the town of Waynesboro. This growing customer base here and throughout are NiSource service areas requires new gas infrastructure but also makes the entire system more economic for all of our customers. Across the NiSource footprint, we have invested more than $1.7 billion of capital expenditures over the 12-month period ending in March. During the same time period, residential gas customer bills actually decreased by 15%.  
 With that, let me turn it over now to Shawn to review our capital projects and financial results. 
Shawn Anderson: Thanks, Melody. Let's begin on Slide 8. We are steadfast in our commitment to deliver safe and reliable energy to our customers at an affordable price. Growing our investment opportunity is a crucial element to this, and our base capital plan is now comprised of a portfolio of projects projected at $16.4 billion through 2028.  The plan is driven by programmatic and enduring investments necessary to maintain safe, reliable and sustainable energy infrastructure that our customers deserve.
 These investments are diversified across renewable electricity, gas and electric customer growth, distribution modernization and system hardening for both the electric and gas businesses. Importantly, there is limited large individual project execution risk in our plan. Moving ahead to Slide 9, I'd like to provide an update on our renewable development program. The table shows base plan amounts, and reflects incremental CapEx from the full ownership of the Fairbanks and Gibson solar projects, which Lloyd just highlighted. By displacing tax equity investor capital and removing the associated joint venture structure, we are able to reduce customer bills relative to our prior plan and be more resilient in our operations over the energy generated for our customers. 
 In the aggregate, our billions of dollars of renewable generation investments negotiated since 2019 remains significantly cheaper and lower risk for our customers compared to the alternative status quo scenario across their useful life. NIPSCO's final coal retirements continue to project to conclude by 2028. And in each of the remaining 4 owned and 4 PPA renewable projects remain on schedule for in-service. On Slide 10, you'll see an overview of additional investment opportunities. 
 We continue to identify capital investment opportunities to enhance service for our communities beyond the capital projected in the base plan. Generation investments, gas distribution and transmission system modernization, Advanced metering and renewable natural gas investments all represent potential upside investments compared to our current base plan. The long-term plan does not currently include any data center load growth assumptions or significant infrastructure investments and upgrades. 
 However, we are receiving robust inquiries from potential customers looking to invest in our Northern Indiana electric service territory due to the attractive business climate we know and appreciate in Indiana. We are focused on developing accretive projects across all utility companies to support our stakeholders and we intend to move projects from the upside category into our base capital plan as they meet our threshold of stakeholder alignment and execution visibility just as we've done this quarter. As Melody highlighted, NIPSCO has commenced its triennial electric integrated resource planning process.
 The process will provide a point of view on generation and capacity required to serve customers beyond the retirement of our last existing coal units by 2028. It builds on generation already included in our 5-year base capital plan and will analyze energy demand projected across the next 2 decades associated with economic development including potential data center development, electrification, electric vehicle utilization as well as incorporating changing policy and resource adequacy requirements. The process will conclude with a filing at the IURC this fall. 
 We'll focus next on Slide 11. And I'd like to point out 2 changes to our financial disclosures this quarter. First, with the completion of the NIPSCO minority interest transaction, we have realigned segments to reflect the new ownership structure; second, to simplify presentation and better align our performance metrics with peer companies, we are changing the name of our primary financial metric to adjusted EPS from net operating earnings per share, as previously referenced.  
 This refers to non-GAAP fully diluted earnings per share, and there are no changes to the underlying calculation of this metric. First quarter adjusted EPS was $0.85, a 10% increase over the $0.77 reported last year. Positive results from regulatory activity and other income were partly offset by higher O&M and depreciation. Normalized customer usage drove an $8 million and $4 million pretax benefit at the Columbia and NIPSCO segments, respectively.
 Interest expense and preferred interest netted to roughly no change following the NIPSCO minority interest transaction and the redemption of the last tranche of our preferred equity securities issued in 2018. For years, NiSource has adjusted GAAP net income and EPS to present a weather-adjusted figure for our investors to project comparable performance periods. While following the mild weather experienced this quarter, I also want to remind you of the underlying regulatory mechanisms insulating both shareholder cash flow and customer bill volatility.  
 All of our gas jurisdictions will have weather decoupling mechanisms should our gas settlement be approved later this year. The mechanisms apply to select customer classes and a range from a full decoupling to partial decoupling and provide more stable customer bills and cash receipts in volatile weather periods. Our long-term financial guidance commitments are shown on Slide 12. As Lloyd mentioned, we are reaffirming the current guidance of $1.70 to $1.74 in adjusted EPS for 2024. All of our 5-year commitments are reaffirmed today as well.  
 This includes the year-over-year adjusted EPS growth rate delivered at 6% to 8% annually off of the achieved results in 2024. We remain confident in achieving our 2024 guidance and our long-term growth rate in all remaining years of the plan. Increased visibility of the return of capital through highly constructive regulatory mechanisms, enhanced visibility into the financial results for 2025 and beyond. Our internal forecasts incorporate continued use of long-established capital trackers in nearly all our jurisdictions, and are based on what we believe are realistic regulatory outcomes.
 O&M discipline also remains a key assumption and a flexible part of achieving our 5-year commitments. Our cost of capital assumptions are resilient and reflect the rate environment from third quarter 2023. And most importantly, we're still able to deliver our $16.4 billion base investment plan to customers while keeping average annual residential total build growth at or below 4% during the 5-year period. 
 Stable and low commodity prices available in our region support our unwavering focus on customer value, allowing us to maintain this commitment. Slide 13 details our financing plan. We are reaffirming our 14% to 16% FFO to debt in all years of the plan. In March, S&P completed their annual review with no change to our BBB+ rating and stable outlook. Our expected equity issuances for 2024 are on track to be completed by year-end through the use of our ATM with approximately 1/3 executed to date, and we continue to have the option to use a forward structure to align proceeds with our flow of work, a flexible financing plan such as utilizing our ATM, the NIPSCO minority interest transaction, potential use of hybrid securities and senior unsecured debt are examples of our plan's diverse funding sources and balance sheet flexibility, enabling us to navigate the balance between growth and credit quality. 
 The figures shown on this page support our base capital plan, including the additions Lloyd mentioned earlier, the full ownership capital investments of the Fairbanks and Gibson projects substitutes in tax transferability from tax equity funding. Credit agency treatment of upfront cash supports FFO to debt compared to traditional capital expenditures. Despite the addition of $400 million of investment to our plan, our equity needs through this 5-year period remain unchanged due to the positive cash flow attributes of this substitute.
 I'd like to conclude by highlighting another quarter of meeting our commitments on Slide 14. Our financial commitments are resilient over the 5-year period through 2028, and our first quarter results keep us on track to meet our previously increased 2024 EPS guidance. The NIPSCO gas settlement and continued employment of capital trackers underscore our superior regulatory and stakeholder foundation, increasing investment in our base capital expenditure plan without modifying the need for external equity demonstrates our balance sheet flexibility.
 And finally, our revised base and upside CapEx figures demonstrate the programmatic and enduring nature of our plan. The value proposition NiSource continues to offer investors is a diversified and fully regulated utility with the opportunity to invest in both programmatic gas infrastructure and the long-term energy transition story for a fully integrated electric business. While this fundamental has previously been the case, the emerging opportunity to support unprecedented energy development and power demand resulting from robust economic development, onshoring as well as new data center development truly differentiates the value proposition relative to many alternatives in the marketplace today. 
 And now I'd like to turn the call back to the operator for Q&A. 
Operator: [Operator Instructions] Our first question comes from the line of Constantine Lednev. 
Shahriar Pourreza: It's Shahriar for Constantine. Let me just on the data center side. I mean, obviously, we've all seen kind of media reports of kind of maybe just sizable data centers coming to Indiana, including Amazon, right? I guess can you maybe talk a little bit about what you're seeing in terms of that potential demand and what it means to the overall plan. I guess, can you be a little bit more specific on when it can hit the plan?
 And when it obviously more important, this whole topic of rate design as you guys are attracting data centers or also trying to protect, I guess, that residential customer base. How are you thinking about rate design and maybe special tariffs for these hyperscalers? As you're in discussions, I mean, would you need to file updated proceedings in order to get the rates? 
Lloyd Yates: So I think as I said in some of my remarks, I think Shawn also repeated it. When you think about the NIPSCO system in Northern Indiana, and we have a number of fundamentals, one, a very robust transmission system, plentiful land, a lot of farmland there, available energy capacity. Great energy policy, really enhance a really positive place to do business. I mean you start to realize a region is right for data center development. And because of that, we are in the midst and have been midst of discussions with several data center developers, and we're really optimistic about the opportunity to grow our load with respect to data centers.
 I think you said something really important and that is -- I think we're working hard on how we're evaluating ways to structure the opportunity so that it benefits all stakeholders. That includes our customers, our shareholders and the communities we serve. So I know I'm not directly answering your question because we don't have real specifics. We like to have detail and have quantifiable detail before we put them into our IRP and our load growth projections. And we're still working on those things, although we are very optimistic about our ability to develop data centers in the NIPSCO  service territory. 
Shahriar Pourreza: Perfect. I appreciate that, Lloyd. And then just lastly here, I know you've mentioned before you ensure that you could ramp up the ATM to cover sort of any incremental equity needs from upside CapEx that's being shifted over to the plan, right? I guess for the remaining $1.6 billion of upside capital, what could sort of be -- what could be next in terms of projects that move into that base plan from there? And then just more importantly, how do we think about the funding source for that? 
Lloyd Yates: So I'll ask Shawn handle that. Maybe Michael will help him. 
Shawn Anderson: Yes. So Shar, first and foremost, I think your question on what are the types of projects, the upside CapEx plan. So still have some electric generation projects in our upside plan based on the results of the 2021 IRP. So we'll watch the 2024 IRP process to understand how these upside projects might fit in our investment timelines. I think gas infrastructure work around PHMSA requirements and some of the additional projects stand out to us are compelling, particularly based on compliance requirements, but we need to watch and see how that plays itself out from a rule-making standpoint.
 Likewise, electric T&D has several projects, which could create upside to the plan, both as we think about MISO Tranche 1 and maybe as we start to approach the next decade Tranche 2. But grid modernization and system hardening is still important work for us to deliver reliable service. And then to Lloyd's point, I mean, we added the economic development and data center and technology innovation support the energy infrastructure to deliver that to Slide 10 as we start to think about the formulation of our upside plan. We think there's a lot of work there, but economic development is challenging. It requires alignment for many different stakeholders, but it can make a big splash for our communities, just like the Intel project did in Central Ohio. 
 So it's entirely possible that these -- the portfolio of these projects develop and could do so quickly. But we don't put those into the base plan as Lloyd said until we're highly certain that these are projects that can deliver value. And then in terms of financing for these projects, we'll evaluate this as it arises. Part of the criteria for investing in these upside projects is seeking accretive projects to help NiSource and our communities grow. We believe the portfolio of projects that we've identified will help us do just that. And in many cases, we think the financing required will be fairly efficient because of the profile of these projects. Fortunately, we operate in constructive regulatory jurisdictions with efficient regulatory mechanisms, which balance the value creation for customers and shareholders. But we're a fully regulated business and committed to balancing our capital structure to ensure the credit quality that we've been able to obtain here, and we'll be committed to do so. 
Operator: Our next question comes from the line of JPMorgan Chase. 
Richard Sunderland: Picking up the data center question again, just curious if you see the IRP, the '24 IRP to be specific, as the best look over the next, say, 12 months on how that might layer in incrementally to your current plan? Or do you see things still evolving, I guess, either faster or slower than that process? 
Lloyd Yates: So I think it could be a combination of both, but things could definitely evolve faster than the IRP process in Indiana. I think just like all the other companies across the industry, the data center developers are talking to a lot of people. I think that they are looking for utilities or energy companies that can move quickly. We want to be one of those. And I think that process may develop or could or probably will develop faster than the IRP process. 
Richard Sunderland: Got it. Very helpful color there. And then just a few regulatory items, Pennsylvania rate case. Anything you can speak to on kind of stakeholder engagement there, how the process has been running so far and how you feel about kind of catalysts over the back half of the year with regards to those case milestones, maybe prospects for settlement? And then separately, the NIPSCO deferral, you referenced, kind of any timeline to think about on getting an approval there? And does that have any financial impacts to the plan that we should think about? 
Lloyd Yates: I will pass it to Melody who heads up our regulatory utilities. 
Melody Birmingham: Yes. Can you hear me okay? 
Richard Sunderland: Yes, we hear you. 
Melody Birmingham: Okay. Very good. As far as the Pennsylvania rate case, which you -- that we filed March 15, it's coming along well, our team continues to engage with our stakeholders there in Pennsylvania. This is not the first time, just so you know, when we have a rate case that we began to have discussions with the stakeholders or to understand what intervenors are wanting or expecting from us. So it's an ongoing dialogue that the team and Pennsylvania has throughout the year up until the time that we file.  We -- with all cases, they're uncertain, but we do work to stay as aligned as possible with the stakeholders to mitigate any surprises. So I would say it's going as well as we expect at this point. And then your next question? 
Richard Sunderland: The NIPSCO deferral. Just overall timing to get an outcome there? And is that something that we should think about having a financial impact or rate case timing impact or anything else? 
Lloyd Yates: So it should not have an impact on the rate case. We still expect to get an order on the NIPSCO gas rate case sometime this summer. And because of the deferral mechanism, it should not have a negative impact on our financials. 
Operator: Next question comes from the line of Miller Travis. 
Travis Miller: This is Travis Miller. On the $1.6 billion of upside, the slide there, some of those gas-related upside numbers. Can you talk about what jurisdictions have the most upside? And again, I realize there's a scale difference here, but just maybe on a percentage basis, which of those gas jurisdictions do you think could check a lot of the boxes here in terms of the upside? 
Lloyd Yates: I mean I think the way to think about it is to think about the size of our jurisdictions, right? So you think about Ohio, Indiana and then Pennsylvania will have the broadest impact in terms of capital investment from those rules of that $1.6 billion. 
Travis Miller: On a scale basis, would -- are there other opportunities in the smaller one... 
Lloyd Yates: There are. You asked the biggest impact. I think there are opportunities in all of those jurisdictions for capital investment as a result of the new rules. But again, it will be, I'd say, allocated to be a size of the jurisdiction is the way to think about that. Michael, do you want to add anything to that? 
Michael Luhrs: Yes. The only thing I would add to that is when we look across all of our territories, that's one of the benefits of having sort of the diversified territories and what we have in our current capabilities. And so you can take things such as in Virginia, there is very constructive legislation around biofuels that allow us to look at those opportunities. 
 If you look at many of our others, we have multiple opportunities, whether that be through what's already been mentioned in the economic development side or AMI transitions associated with it or some of the opportunities when we're looking at what we're going to have to do associated with just hardening in the electric liability that Shawn mentioned earlier. Quite frankly, there's a pretty strong pipeline of opportunities for that $1.6 billion upside. And just as we've done previously,  as you've seen with some of the full ownership on the projects as we work through those methodically, we will bring those into the plan and make sure that we announce them once we have that level of confidence, as Lloyd mentioned. 
Shawn Anderson: Yes. Maybe one last point here, this is Shawn. The stakeholder alignment is critical, and so the timing to implement the rules will matter as you think about our current CapEx plan, '23 to '28. So we'll need to pace that through. So what you'll see if it moves from the upside plan to the base plan will be actionable projects within the context of the timing of this CapEx plan. But those rules could extend the amount of work into the early 2030s. And so how we segment that along the actual jurisdictions that Michael just referenced will be dictated a lot by our stakeholder engagement and the pacing set forth by themselves. 
Travis Miller: Perfect. That's really helpful. And then one other, obviously, the hot topic of the data center. But if you think about your mix of business in terms of gas and electric, how much upside or available upside at least is manufacturing, which you mentioned versus data centers? 
Lloyd Yates: Yes. So I'd say some -- I mean, I think you started thinking about the economic development in Ohio, in Indiana outside of data centers is really strong. You think about reshore and you think about the Intel project just here in Columbus, you think of some of the battery, Stellantis in Indiana. I mean, reshoring or onshoring; however, you want to characterize that is, again, a great opportunity for us. We are strengthening our economic development pipeline getting more focused on that because there are more people interested in that. I mean, I think we have -- I mean the -- one of the strengths of the company is we did -- the jurisdictions we operate in, most if it, not all of our states, provide huge economic development incentives and people are very motivated to create manufacturing jobs where possible. That's the one thing no matter what your politics or everybody agrees on job creation and economic development and we're positioned very well to take advantage of those. 
Operator: [Operator Instructions] Our next question comes from UBS Securities. 
William Appicelli: It's Bill Appicelli from UBS. Just going back to the technology capital deferral mechanism. I guess how much capital could flow through that? And then just to clarify, that would be a deferral on D&A and O&M. 
Shawn Anderson: Yes, this is Shawn. I'll take that. The existing project cost allocation is set forth to be about $250 million across NiSource, but that splits itself to the allocation across their jurisdiction. So think about it around $150 million of capital that will flow through NIPSCO, both on the electric side and the gas side. And then -- yes, it covers the onetime O&M component of it and then some depreciation and amortization. 
William Appicelli: Okay. All right. Great. And then just going back to the PHMSA rules and maybe can you just share exactly what you need to see coming out of that final rule making to trigger some of the incremental capital opportunities? 
Lloyd Yates: Yes. I mean we are actively involved with federal government and I'll say the PHMSA rulemaking. As you probably know, PHMSA is about really grading leaks and repair timelines and leak detection methodologies. We think those rules will be finalized by the end of this -- by the end of 2024, so far and as we start to develop plans for compliance to those rules, you'll start to see us have input to our capital plan or additions to our capital plan to facilitate those rules by some time in the middle of the plan. So if you develop a compliance plan within 18 months. And in 36 months, you kind of have to roll into your capital plan. So we expect to see capital upside from the PHMSA rule sometime in the middle of the plan. 
William Appicelli: Okay. All right. And then lastly, and apologies if you said this earlier, but on the ATM issuance, can you just remind us how much you've done year-to-date? 
Shawn Anderson: We did approximately 1/3 on the ATM to date. 
Operator: Thank you. And I will now turn the call back over to management for closing remarks. 
Lloyd Yates: Again, thank you for participating in the phone call. We're optimistic about the NiSource plan. Appreciate the questions. Have a great day. 
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.